Operator: Welcome to the First Quarter 2015 Earnings Conference Call. My name is John, and I'll be your operator for today's call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. And I will now turn the call over to Executive Vice President and Chief Financial Officer, Hilliard Terry.
Hilliard Terry: Thank you, John, and welcome to Textainer's 2015 first quarter conference call. Joining me on this morning's call are Phil Brewer, TGH President and Chief Executive Officer; and at the end of our prepared remarks, Robert Pedersen, TEM President and Chief Executive Officer, will join us for the Q&A. Before I turn the call over to Phil, I'd like to point out that, this conference call contains forward-looking statements in accordance with U.S. securities laws. These statements involve risks and uncertainties, are only predictions, and may differ materially from actual, future events or results. Finally, the company's views, estimates, plans and outlook as described within this call, may change subsequent to this discussion. The company is under no obligation to modify or update any or all of the statements that are made. Please see the company's Annual Report on Form 20-F for the year ended December 31, 2014 filed with the Securities and Exchange Commission on March 13, 2015, and going forward, any subsequent quarterly filings on Form 6-K for additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements. I would also like to point out that during this call, we will discuss non-GAAP financial measures. As such, these measures are not prepared in accordance with Generally Accepted Accounting Principles, a reconciliation of the non-GAAP financial measure to the most directly comparable GAAP measure will be provided either on this call or can be found in today's earnings release. At this point, I'd now like to turn the call over to Phil, for his opening comments.
Phil Brewer: Thank you, Hilliard, and welcome to our first quarter 2015 earnings call. We are pleased with our performance during the first quarter, which is traditionally the slowest quarter of the year. Our lease rental income increased 7.1% from the prior year quarter, to $129.2 million. This is especially impressive, when noted that rental rates remain under pressure, and are currently at historically low levels. As a result of many factors, including increases in utilization, growth in our fleet size, proper structuring of lease terms to ensure maximum returns in higher demand locations, and our worldwide presence, providing strong operating, remarketing and sales capabilities, we have been able to mitigate some of the impact of the decline in rental rates and disposable prices. Adjusted net income was $40.5 million for the quarter or $0.71 per diluted common share. Our annualized ROE on adjusted net income was 13.7%. We declared a quarterly dividend of $0.47 per share. Our Board is committed to our dividend and takes a long term view, which includes making sure we have ample cash flow to grow our business and maintain a dividend that provides an attractive return to our shareholders. Utilization remains at historically high level, a clear indication that there are not too many containers in the world. Utilization averaged 97.6% for the quarter, the highest level since 2012, and is currently 97.4%. We continue to have strong pace of expansion with more than $450 million of CapEx for lease-outs in 2015. Virtually, all of which was for our owned fleet. Today, our fleet exceeds 3.2 million TEUs. We remain the largest lessor in the industry, and believe our size provides a competitive advantage, that provides economies of scale, we have the lowest operating cost per container of any of our public competitors, and it means, that our customers know we have the inventory where they want it, when they want it. Our unbooked vessel stock reached its lowest level in many years in mid-February. Turn-ins have exceeded lease-outs since then, resulting in an increase in inventory, but the overall level remains both manageable and low on a historical basis. New container prices continue to decline, and are below $1,800 per CEU currently. Given the weakness in steel prices, and limited demand for new containers, further decreases in prices are likely. Used container prices also continue to decline, down 5% to 10% over the last six months. The strong U.S. dollar has negatively affected sales prices in Europe and Asia. Gains on sales of containers have declined, although they remain positive, as we continue to sell above book values. Our trading business remains profitable, even though some containers have been sold at losses. We do not expect used container prices to recover, prior to any increase in new container prices. Our effective interest expense, including hedging costs, declined 9% quarter-to-quarter, even though the amount of debt outstanding increased. Our DSO continues to improve steadily, and currently, is at its lowest level in many years, reflecting our strong focus on credit and collections. Leases maturing in 2015 have high average rental rates, compared to the current rates for new containers. We are expecting containers subject to leases maturing this year to be repriced downwards, or the containers will be returned. The average rental rate on lease declined 3.5% from the year ago quarter, even after including the effect of low yielding purchase leaseback transactions. As we have been a consistent buyer of containers over the years, only 8% of our term lease matures in 2015, and largely in the second half of the year. We have been and will continue to work with lessees to extend these leases. We continue to reduce our interest expense, even though the absolute level of outstanding debt increases. Our leverage is only 2.4 times debt-to-equity, lower than our public peers. Container demand during 2015 has proven to be less than expected at the start of the year. We did not see the pre-Chinese New Year pickup in demand that we have seen in prior years, as subsequent market activity has been muted. Nonetheless, there are many reasons to remain positive. Trade growth of 4% to 5% is projected for 2015, which should result in stronger demand, as the year progresses. It is important to keep in mind, that there is not a surplus of containers in the world. Lessors have utilization rates for the most part in the mid to high 90s. The average age of containers in service has been increasing over the last several years, and these older containers will be retired soon. Many lessors sold large portions of their fleet under purchase leaseback transactions. Those containers are being returned, and retire from service now. The current vessels, larger than 12,000 TEU, more than 1 million TEU of capacity, will be delivered from now through 2016, and more vessels are expected to be ordered. We invest in containers only when the projected returns meet or exceed our investment criteria. We believe containers purchased to-date will generate strong returns over their life, especially when container prices and our interest rate increase, and these containers are released under stronger market conditions. We are well positioned for the rest of the year. We have the largest fleet and lowest operating costs in the industry. 83% of our fleet is subject to long term and financed leases. We continue to reduce our interest expense, even though the absolute level of outstanding debt increases. Our leverage is only 2.4 times debt-to-equity lower than our public peers. We offer dividend yield above 6%. Indeed, our growing fleet, declining cost of funds, and high utilization have offset much of the decline in rental rates and sales prices, and enable us to continue to deliver solid results. I would now like to turn the call over to Hilliard.
Hilliard Terry: Thank you, Phil. During the first quarter, lease rental income grew 7% year-over-year, due to an increase in the size of our own fleet, and a more than three percentage point increase in average utilization. This was partially offset by a decrease in average per diem rental rates. This reflects the strength of our ongoing re-leasing efforts, as leases expire, and its notable outcome in an environment, where the current market lease rates are lower than the expiring rates. Additionally, and as Phil mentioned earlier, less than 8% of our fleet is subject to long term leases that expire this year. Lower resale prices continue to result in reduced gains on sale, and our trading business continue to be profitable. Direct container expenses decreased 25%, in spite of the 8% increase in the size of our own fleet. As the increased utilization of our own fleet resulted in lower storage costs. Depreciation expense was $47 million for the quarter, up a little less than $7 million year-over-year, marginally, as a result of our larger owned fleet. Annualized depreciation expense 4.3% of average gross container asset value, remain pretty much unchanged sequentially from the fourth quarter. Our bad debt expense was approximately 1% of revenue. We continue to believe the normalized run-rate for bad debt expense, should trend between 0.5% and 1% of revenue on a longer term basis. We saw a five day improvement in DSO versus the first quarter last year, reflecting continued diligence over our crediting collections processes, and expect this positive direction to continue in the future. Our interest expense, including realized hedging costs, but excluding the write-off of unamortized bank fees and unrealized losses on interest rate swaps was $22 million for the quarter, down 9% versus the year ago quarter, in spite of a 12% increase in our average debt balance. We continue to benefit from our refinancing activities over the past year or so, as our effective interest rate, which includes realized hedging costs is currently 2.91%. A decline of 70 basis points, when compared to the year ago quarter. During the quarter, we completed the refinancing of our older -- or I should say, seasoned container warehouse facility, lowering the bar in costs by 30 basis points to LIBOR plus 1.95, and extending the revolving term from two to three years. The benefit of our refinancing activities will continue through 2015. Currently, the duration of our debt is aligned with the duration of our lease portfolio. As of quarter end, 82% of our debt is fixed or hedged, pretty consistent with the percentage of our own fleet, subject to long term and finance leases. The weighted average remaining term of our fixed and hedged debt is 50 months, and the weighted average remaining term of our long term and finance leases is 40 months. Income tax expense for the quarter was $1.5 million, resulting in a 3.9% effective tax rate for the quarter. As you may recall, during the first quarter of last year, we had a $22.7 million onetime discreet item, resulting in a large tax benefit. Our effective tax rate can vary from quarter-to-quarter, due to discreet and onetime items. However, as we have stated in previous quarters, we expect our annual effective tax rate to be in the low to mid-single digits. Adjusted, EBITDA which is a great proxy for cash flow was $111 million in Q1, up 7% from last year and consistent with the growth in lease rental income. Adjusted net income, which includes unrealized gains and losses on interest rate swaps and the write-off of unamortized financing fees for the quarter was $40.5 million, resulting in a deducted EPS of $0.71. As Phil mentioned earlier, our dividend was $0.47 per share, and as a reminder, some or all of such distribution maybe treated by U.S. shareholders as a return of capital, rather than dividends. Finally, turning to our balance sheet, as of March 31, 2015, our cash position was $111 million, with standby liquidity of over $400 million. Our total assets were $4.4 billion. Thank you for your attention. Now I'd like to open the call up for questions. John, can you inform the participants of the procedures for the Q&A?
Operator: Thank you. [Operator Instructions]. And our first question is from Mike Weber of Wells Fargo.
Donald McLee : Hey guys. This is Donald McLee on for Mike.
Phil Brewer: Good morning. How are you?
Donald McLee : I am doing pretty well. First question, just looking at your income statement, the direct container expense line decreased by 25% year-over-year and it's gradually lower over the past couple of quarters. I was wondering what drives that expense line, and how should we think about us mainly [ph], going forward?
Hilliard Terry: Well, the direct container expenses, really what has been driving it is, the decrease or the increase in utilization for our own fleet. And over the past couple of quarters, we have highlighted the fact that, as a result, when you have more containers out on lease, there are lower storage expenses. So the biggest driver there is the lower storage expense. Really, you need to kind of look at utilization, if it stays sort of where it is or fairly high, we should see the same effect going forward.
Donald McLee : Thanks. That's helpful. My second question is, if you could provide any updates on your partnership with Trifleet and kind of, how do you guys think about incremental tank container vessels in 2015, given the current rate backdrop for the dry boxes?
Phil Brewer: Well we have been working with Trifleet now for about a year and a half. It has been a very successful relationship. We very much appreciate the opportunity to work together with such a fine company. Right now, yields on tanks are also under pressure, similar to yields on dry freight containers or refrigerating containers. So the growth that we see in our investments and tanks with dry fleet, is not as dramatic as we would have hoped. But we continue to work with them going forward. So at this point, you won't see a meaningful impact on our financial statements from our investment in tanks.
Donald McLee : Got it. Thanks for the time guys.
Phil Brewer: Thank you very much.
Operator: Our next question is from Helane Becker from Cowen and Company.
Helane Becker: Thanks very much, operator. Hi guys.
Phil Brewer: Hi Helane.
Helane Becker: In the history of the company, has this happened before, where new leases are significantly below leases that are coming off?
Robert Pedersen: Hi Helane, its Robert here. Yeah, that has happened before over the - -many years we have been in business, we have been through quite a few peach in the valleys [ph], and while certainly the outlook, price differential, 2015, all the way through 2017 is bigger than we would like, we have seen it before.
Phil Brewer: I would just add Helane that, right now, we are at utilization of somewhere around 97%. I mean, over the time that we have been there, we have seen utilization fall into the 70s or lower. So what we are seeing right now, you have to keep in mind, it's also combined with the fact that we have got extraordinarily high utilization.
Helane Becker: Well, that's right, and obviously still prices are more -- are more of the reason why numbers are kind of -- the prices are where they are, rather than significantly higher, given the utilization; because you were saying, given the utilization, you would have some pricing flexibility, and obviously there is not really much in the industry right now?
Phil Brewer: No, I would say none of the market for participants on the leasing side have much market power. It’s a very competitive industry. But on top of that, as you know the effect of steel with the container prices going down, it's also important to keep in mind that interest rates are at such extremely low levels as well, and that's also a factor that's driving down rental rates.
Helane Becker: Okay. So just one another question, does it -- can you affect industry consolidation to see any improvement, or is it just more of a -- should we think of this more as just -- is it commodity, when the commodity comes back, pricing will come back?
Phil Brewer: I am not sure if there is one or two pieces to that question. The first question, are we looking at opportunities for industry consolidation, I would say, yes we are. But that's not something we can comment directly on. As you know, we are always looking for opportunities that may arise. Was there a second part to that question?
Helane Becker: No, I don't really think so. I think it was just -- should we just wait. I guess, we are just treating the business like a commodity, and just wait for commodity prices to come back, right, before we get rates to improve? I am trying to figure out ways for rates to improve, so that we can move beyond the sort of narrow trading range for the business in general, and how you can kind of differentiate the business versus -- your business versus others. But I guess, it's not doable.
Phil Brewer: Well the obvious reasons why we made, see a rate improvement over time, and I think some of them are inevitable reasons, they will happen. Certainly, when interest rates go up, you will see rates going up. When and if asset prices go up, you will see rates go up. Asset prices could go up, because of either increases in the cost of steel, increases like cost of production of containers, or frankly, just the demand goes up. I mean, we could steel prices remain where they are, but if the demand for containers and the factories were to increase above the current level, I think we'd see container prices going up as well. So any of these factors could lead to an increase in rental rates.
Helane Becker: That's really great. Thank you so much for the time. I really appreciate it.
Phil Brewer: Thank you, Helane.
Operator: Our next question is from Art Hatfield from Raymond James.
Art Hatfield: Hey morning everyone. I kind of want to follow-up on Helane's line of questioning; because I wonder -- I don't know if you guys have the ability to see this going forward, and I don't know that anybody does; but is it possible that we have to see an inevitable decline in utilization before we see rates go up?
Robert Pedersen: Art, this is Robert here; we do think that utilization is going to maintain a stay at a very nice level. I was thinking also, when Helane asked the question, I think I will put my point in right now; I think the reason price reductions for new containers, only about 60% of that reduction actually relates to steel; the rest is other and margins for the manufacturers. And clearly, it doesn't take much, if the demand picks up and both shipping lines and leasing companies start ordering to a higher extent, I think the manufacturers will likely try to recover some of that margin that they have given away during this slow season. So that could be something that can happen much faster than, probably steel prices will increase.
Phil Brewer: And just adding to what Robert said, I don't think that we need to see a decline in utilization for rates to go up. Rates can go up for -- simply the factor of interest rates were to move, you'd see rates move up, and that would necessarily have a correlation with utilization.
Art Hatfield: Great. That color is very helpful. My second question, and you may have addressed this and if you did and I miss, I apologize; when we think about the renewal risk this year, kind of what's the cadence going to be for the year? I think I recall, in the past you mentioned that about 8% of the fleet is up for renewal this year. How much of that was in Q1, and would we see an outside portion of that 8% in the back half of the year?
Hilliard Terry: That's a good question. Actually, most of our expirations are at the end of the third quarter this year. If you -- they do a weighted average. Obviously, if market allows us, we will try to extend some of those leases earlier, particularly, if we believe we can achieve better terms by doing so. But we do evaluate, lease-by-lease, customer-by-customer. But I mean, most of the expirations are towards the latter part of the year.
Art Hatfield: Great. Thanks for the time this morning.
Phil Brewer: Thank you, Art.
Operator: Our next question is from Amit Mehrotra from Deutsche Bank.
Amit Mehrotra: Yeah hi. Can you hear me?
Phil Brewer: Yes we can.
Amit Mehrotra: Okay, great. Thanks so much. So my first question is just a follow-up on the last two with respect to the industry, and just wanted to try to understand how this sort of lackluster environment that we are in today compares to the past cycles? I mean, you guys have been in the business for over three decades, and see many cycles, and so I'd just be interested in how you would characterize sort of the current environment versus past weaker periods? And more specifically, is there anything maybe pseudo-structural, not structural but pseudo-structural that's happening this time around, whether its with respect to China, or the global -- the commodity complex, or interest rates, especially given the sort of recent decline in yields seen in Europe?
Robert Pedersen: This is Robert here, maybe I should just start from the market aspect. I think what you saw this year was, and Phil mentioned that in his overview. The demand up to Chinese New Year was weaker than we expected. Well most leasing companies and some shipping lines had purchased equipment ahead. We started buying and preparing ourselves for the fourth quarter last year, for demand, pre-Chinese New Year, Chinese New Year; it was late this year, it was mid-February. That demand did not take off. Yes there was a spike in cargo loadings, but it was not sufficient to create a large scale container demand situation. As a result of that, industry was generally sitting on more inventory, than we would like. Shipping lines too, looked at this situation, prices started dropping, interest rates were low, and you saw -- like we have seen in previous years, but probably to a larger scale this year, more shipping line purchasing in the beginning of the year. So from the new production side, that created a slight oversupply situation. We believe that inventories on the ground right now are close to 1 million TEU. While that increase is dramatic, actually, the largest part of that increase compared to a year ago was based to the shipping line inventory, and as some of the shipping line that's sitting on inventories in the factories, they obviously don't need to lease right now. So we may look at last year, when we came to May, no doubt we were seeing more inquiries than we are seeing right now. The U.S. West Coast port lockout and slowdown did not create the demand in Asia that I think we had also planned for. So a lots of factors kind of led to -- probably a pretty aggressive buying in fourth quarter last year and first quarter this year, without the level of movements that we would like to see. Fortunately, that has not had a huge impact on our in-fleet containers, which you know for, any leasing company is very important. When you look at what could happen hereafter, well, the shipping lines are still predicting 4% to 5% growth this year. While there has been growth this year, it hasn't been at that level, and if that is going to happen sooner or later, we should see a spike in cargo loadings, and thereby, container requirements again. So I hope that answers the operational part. Phil, did you have some additional comments?
Phil Brewer: Thanks Robert. I would like to maybe, take this up to a little bigger view. First, in my view what happened after 2009, is, we had this tremendous growth, turbo-charged growth in the industry in 2010 and 2011. It caused many new entrants to come in, private equity to come in and many of the analysts started paying attention at that time. I think there was a lack of understanding, that this is a cyclical business, it has always been a cyclical business, and they will remain a cyclical business going forward. You ask, what is different now? Well, right now, one thing I believe is different, is frankly, we have tremendous amount of liquidity among all of the lessors. The financing structures that some of the larger lessors were using to raise money, everybody uses now. That has changed. There is a lot of liquidity. But let's step back a second, let's look at what's going on here. This is not a -- the sky is falling scenario, right? We have an ROE in the mid-teens, that is due to, frankly, our public peers. I think that's a very-very admirable result and performance, especially, given the types of returns you see in other investments today. I think its especially impressive in our case, because if you look, we only have 2.4 times leverage, we are much-much lowly leveraged than our competitors, and yet, still able to return at extremely attractive return on equity. On top of that, providing a dividend yield in excess of 6%. So I think it's important to keep in mind, it has always been a cyclical industry. Yes, one thing that has changed is, there is a lot of liquidity among the lessors. Having said that, the performance of Textainer in particular, I think, is pretty impressive.
Amit Mehrotra: No, I agree. I mean, you guys obviously have managed the business very effectively, and I guess, positioned it well for recovery. But then, just a follow-up question to your comments, with respect to capital allocation, because you guys have clearly invested during the downturn, to position yourself well for the recovery. But at the same time, the share price is sort of near the lows over the last several years, and I know you're focused more on the long term business outlook, as you well should. But truly, share repurchases are interesting at these levels, especially given the fact that the dividend yield is well above your cost of financing. And so, how do you sort of think about that balance, between investing for future growth, as well as maybe, doing some sort of financial engineering or share repurchase, that may accelerate the earnings per share growth over the mid-term, when that recovery does come around?
Phil Brewer: We have not yet engaged in repurchasing our shares. However, it's something that we do look at, and do discuss with our Board of Directors. We may consider going forward; I think one issue we do have frankly is, that we don't have an extremely large public float; and we'd like to make sure that we maintain a sufficient public float in our shares to improve the liquidity in our shares, and that's -- while I won't say that that would prevent us from buying back shares, I am just saying it is something that we keep in mind, when we consider that as an alternative.
Amit Mehrotra: Right. That makes sense. Just one last question if I may, with respect to the lease expirations. I am just trying to understand the headwind in 2016 associated with expirations, relative to the headwind in 2015; because it looks like, you have more expirations in 2016, but it's at a lower dilutive per diem rate, and so just wasn't sure what the net headwind was in 2016 versus the headwind in 2015.
Phil Brewer: You hit the nail on the head. I mean, 2016, we also expect rental rates and the time of the expirations to be below the level of the expirations. However, the average rental rate on the leases maturing in 2016 are lower than the ones in 2015. One point that is important to keep in mind, is that Textainer has been a very consistent buyer of containers over the years. We don't have one year, where we bought a very large percentage of our fleet, and we will continue to perform that way going forward. As you have seen, we have had relatively similar levels of CapEx over the past several years. I mean, it has varied a bit, but it's in the $800 million, $700 million and sometimes slightly higher than that level of CapEx. We intend to continue that going forward. We think the best way to maintain our high level of performance, is to be a consistent buyer of containers over time.
Amit Mehrotra: Great. That makes sense. Thank you all very much. Appreciate it.
Phil Brewer: Thank you, Amit.
Operator: [Operator Instructions]. We have a question from Shawn Collins from Bank of America.
Shawn Collins: Great. Thank you. Good morning Phil, Hilliard and Robert.
Phil Brewer: Good morning Shawn.
Robert Pedersen: Good morning.
Shawn Collins: I wanted to ask about the competitive environment, are you seeing more competition from your usual competitors, i.e., Triton, TAL, TQ [ph]. I know you can't mention names specifically, or are you instead, kind of seeing more competitive pressures from newer entrants, mainly the newer entrants that have been enabled by historically low interest rates, and fueled by private equity capital?
Robert Pedersen: Shawn this is Robert here. We really have not seen a huge change in a competitive landscape. It’s the beginning of the year, if you go back 12 months, I sure as said the same I was going to say it right now, in the beginning of the year, old players are out there, and when you look at the demand aspect this year, where demand has been slightly softer than we expected, most of the requirements have been smaller in nature, which means you don't have to be one of the major source to provide the containers for those requirements, and that does increase the competitive landscape, and the competitiveness of each transaction. So it is really business as usual. Yes, the demand is lower right now, so we are all on our toes. But I would say, there is nothing that really surprises in that aspect, and similar to how we have reacted in the market, we have not reacted to the market any differently than we have done previously.
Shawn Collins: Okay, that's great. That's helpful. Thank you. Second question, I wanted to ask about today's leasing rates versus the Textainer portfolio average rate. I know current market leasing rates are below the 16 or portfolio average, I know you cannot disclose, or would not choose to disclose hard numbers. But can you give a rough percentage difference or some type of quantitative delta?
Hilliard Terry: Sure Shawn, and I would also highlight -- we do have an investor presentation on our web site, that has a chart that shows kind of, each year the lease expirations and approximately, where current market rates are. If you look at sort of this year, I would say, the average per diem is around $0.85 and if you look at where sort of market lease rates are today, its below $0.50, and so that gives you a magnitude. But I caution you, because it's not that all of these leases are repriced on the same day, and as Robert said earlier, ours tend to be a little more backend loaded this year, and even when they are repriced, and it doesn't go necessarily to exactly where the market rate is. It might be rate somewhere in between or something of that sort. So I just -- to kind of give you those caveats, I think I gave you a clear sense of where the gap is, but you should think about the caveats around on this one.
Phil Brewer: Its important to keep in mind that there are costs to returning containers. So when Robert's renegotiating leases, as these leases are coming due, that's also something that he can use to our advantage, to ensure that ultimately, its not necessary where current lease rates are, but its somewhere in the middle, and we noted, our average lease rate from first quarter last year to first quarter this year is down 3.5% -- or only 3.5%, and that includes the impact of purchased leaseback containers, which we have purchased from our shipping line customers, generally at lower prices with much lower rental rates, based on those lower prices.
Shawn Collins: Okay. That's helpful. And I understand your portfolio has an average duration of more than 3.5 years, and so a lot happens between now and then, and as rates can change and improve, and your portfolio comes off. So today's mark-to-market is not applicable to your portfolio, I understand. Just my last question I wanted -- I had a broad-based question on global trade activity, and just wanted to ask if you could comment on activity levels that you're seeing in Asia, and also in Europe? And if you're seeing any material change in either region, whether positive or negative?
Robert Pedersen: Well, it looks like the inter-Asia trade is starting to improve again, which is good news. Generally, in a large scale, we can certainly see the trade between Asia and North America has been pretty satisfactory. I think the lines are actually positively surprised about where they seek loading volumes, and slot utilization rates and that rate. The bigger problem is the Asia-Europe trade that has not really picked up, and when the shipping lines are taking delivery of 18,000, 19,000, 20,000 TEU plus vessels, they are always activated into the Europe trade, and that has put pressure on freight rates, and certainly decreased slot utilization levels. So I think for the market to take off in a bigger scale, we need Europe and the Greater Europe region to improve. When the large freights don't carry COG with the same level, it also has an impact on the inter-Asia business. There are some stats that I read some time ago, that for each deep sea move, there is one-third of an inter-Asia move attached to that. So as we see fewer loadings into Europe, you would see less growth in the inter-Asia trade. So its kind of a double-whammy. On the other hand, the funds [ph] side when it does take off, it takes off at a much faster pace than you would imagine.
Shawn Collins: Okay. That's helpful. Thank you very much for the time and the information.
Phil Brewer: Thank you, Shawn.
Operator: And we have no further questions at this time. I will turn it back over to Hilliard Terry for closing remarks.
Hilliard Terry: All right. Thank you, John, and I appreciate everyone joining us. We look forward to seeing you at the upcoming conferences that we are participating in. And as always, if you have questions on anything discussed, please give us a call. Thanks a lot.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for participating. You may now disconnect.